Operator: Welcome to the PBF Logistics Fourth Quarter and Full Year 2019 Earnings Conference Call and Webcast. [Operator Instructions] It is now my pleasure to turn the floor over to Colin Murray of Investor Relations. Sir, you may begin.
Colin Murray: Thank you, Berry. Good morning and welcome to today's call. With me today are Matt Lucey, Executive Vice President, Erik Young, our CFO and several other members of the Partnership's senior management team. If you'd like a copy of our earnings release, it is available on our website. Before we begin, I would like to direct your attention to the forward-looking statements disclaimer contained in today's press release. In summary, it outlines that, statements in the press release and on this conference call that state the Partnership's or management's expectations or predictions of the future are forward-looking statements, intended to be covered by the Safe Harbor provisions under Federal Securities laws. There are many factors that could cause actual results to differ from our expectations, including those we've described in our filings with the SEC. As noted in our press release, we will be using certain non-GAAP measures, while describing the Partnership's operating performance and financial results. For reconciliations of non-GAAP measures to the appropriate GAAP figure, please refer to the supplemental tables provided in today's press release. I'll now turn the call over to Matt Lucey.
Matt Lucey: Thank you, Colin. Good morning, everyone. We finished 2019 with a strong quarter, driven by solid operations, execution of our organic projects and contributions from the processing agreement on our East Coast Storage Assets, which began in October. Our other East Coast assets continue to see increased local demand and incrementally higher volumes, as a result of the shutdown of the PES refinery. 2019 was a productive year for PBF Logistics. Our adjusted EBITDA of just over $200 million, exceeded guidance for the year and was driven by solid performance across our entire asset base and solid execution from our employees. Early in the year, in response to the changing markets, we eliminated the Partnership's IDR structure at a LP unitholder friendly multiple of less than 11 times. In April, we increased the Partnership's ownership of the Torrance Valley Pipeline to a 100% through a successful drop-down transaction that was facilitated through a widely supported public equity offering. Drop-down transactions and equity offerings were fairly rare currencies in the MLP space last year, and PBFX's success in these transactions was made possible by the strong support of our sponsor and our investors. We remain committed to delivering growth through the continued execution of our ongoing and identified in-house projects, development of strategic partnerships and successful execution of third-party acquisitions. Today, we are pleased to announce a quarterly distribution of $0.52 per unit. In January, we announced our guidance for 2020, and despite the challenging macro environment, we expect the partnership to deliver approximately $225 million in EBITDA for the year. This figure incorporates the pro-rated contributions of our ongoing organic projects, as they come online and also the contributions of our completed acquisitions and ongoing Maersk processing agreement. With that, I'll turn it over to Erik.
Erik Young: Thank you, Matt. This morning, we reported fourth quarter net income attributable to the limited partners of $29.8 million. Adjusted partnership EBITDA was $54.2 million, which excludes approximately $2.3 million of transaction-related expenses, environmental remediation costs associated with our East Coast Terminals and non-cash unit-based compensation. During the quarter, we spent approximately $2.8 million on maintenance capex and approximately $5.9 million on growth projects. Our total capex for 2019 was roughly $32 million, in line with our guidance. Our fourth quarter adjusted coverage was 1.2 times. We ended the quarter with just under $250 million in liquidity, including $35 million of cash and approximately $212 million of availability under our revolving credit facility. Net debt to annualized adjusted EBITDA was 3.5 times. Since our IPO in 2014, our distribution growth policy has been linked to our growth strategy. As the MLP market has evolved over the last few years, we've responded with a more measured approach to LP unit distributions, while continuing to grow our business. Since we last revised our distribution policy in early 2018, we have delivered 50% EBITDA growth, primarily through successful third-party acquisitions and the continued development of our organic projects. The prospects for the growth of our business are as strong today as they have ever been, and we are committed to delivering that growth through the ongoing execution of our proven strategy. As of the fourth quarter of 2019, we intend to hold our distribution steady at $0.52 per unit per quarter. This distribution policy will continue to reward our unitholders, while providing the Partnership with additional financial resources to build coverage, fund growth and strengthen our balance sheet. We believe that this approach will benefit both the Partnership and unitholders in the long run. Operator, we've concluded our opening remarks, and now we'll open the call for questions.
Operator: [Operator Instructions] We'll take our first question from Spiro Dounis with Credit Suisse. Please go ahead.
Chad Bryant: Hey guys, this is Chad Bryant on for Spiro. Looking at growth with PBF closing the Martinez acquisition, could you provide a little more detail on growth opportunities you have there? Are there any organic projects that could develop? Or is it primarily focused on the drop of the existing assets?
Matt Lucey: Martinez is a large, complex refinery with all the standard assets that come with that. And so I think to answer your question is, yes, there are assets that could be dropped down and there certainly will be projects as you get into any business, opportunities present themselves. And so, yes, there will be projects that will come. And investment opportunities for PBFX to participate in activities at Martinez, we haven't quantified that necessarily. And a lot of the organic projects, quite frankly, will develop over time.
Chad Bryant: Okay, great. And then just on, you mentioned the PES shut down and the benefits you saw there for your Philadelphia terminals and storage assets. Is that, are there any sort of additional opportunities there that we should be thinking about? Or is that kind of the ratable sort of level of impact that we saw there?
Erik Young: Probably the ratable impact. Look, I think the whole Delaware Basin will shift around, and for those that have seen it, it would appear that the bankruptcy court has ruled. And so the PES refinery, does not appear like it'll be coming back. And so I do think it's our new normal. Markets will evolve a bit, but we benefited from increased throughput through our terminals in the Philadelphia region, and I think that will continue.
Operator: [Operator Instructions] We'll take our next question from Ryan Levine with Citi. Please go ahead.
Ryan Levine: Hi, good morning. Could you provide an update in terms of equity issuance appetite? And then how that may or may not be part of your strategy as you evaluate different incremental organic or third-party transactions?
Matt Lucey: I think our message, Ryan, is consistent with what we laid out really after doing our equity transaction in the spring of 2019 that, we do not anticipate any requirement for equity during the course of this fiscal year, i.e., 2020 to be able to fund our internal projects. Now if a potential third-party opportunity comes around, we would need to evaluate size and scale and the potential requirement for any equity going forward. But I think we've demonstrated that for good transactions, we feel fairly confident that we can access the market. It's probably just a bit more nuanced than it was four or five years ago in terms of approach, strategy and then execution of that equity issuance. But near-term, our view is let's continue to kind of build coverage, keep the cash on the balance sheet. We would be using that incremental cash to basically continue to fund our internal projects.
Ryan Levine: Okay. And just speaking to some of those internal projects, there hasn't been any kind of new developments so far this year. Curious if you're -- if there's any commercial projects that are eating up more time or getting more traction? And specifically, in New Jersey, are you seeing more challenges in some of the commercial opportunities that may present themselves there?
Matt Lucey: I'm not sure what you're referring to in challenges in New Jersey, per se, but no, I don't view any changes. Our projects, I think, develop over time, they're progressing. We're pleased with a number of projects we're working on. So no change.
Operator: And there are no further questions at this time. So I'll turn it back to Matt Lucey for any closing remarks.
Matt Lucey: We greatly appreciate your time this morning, and look forward to communicating with you next quarter. Thanks. Have a great day.
Operator: This does conclude today’s program. Thank you for your participation. You may now disconnect and have a wonderful day.